Nik Kershaw: Hi, good morning, everyone. Thanks so much for taking time to come to our Full Year Results Presentation. My name is Nik Kershaw. I'm Head of Investor Relations for VEON. With me today in the room we've got Ursula Burns, our CEO and Chairman; we've got Kaan Terziouglu and Sergi who are currently our joint Chief Operating Officers; and Alex Kazbegi, who is our Chief Strategy Officer for the Group. Just as we - just the presentation for today, I'll read you the format we're going to flow through - go through. We'll start with an overview both of the fourth quarter results and full year results that Ursula will do; followed by a brief discussion of the financial performance for the quarter from Alex; we'll then turn our attention to the key themes across some of our bigger markets and Kaan and Sergi will deal with that; after that Alex will come back, touch a little bit on the capital allocation and our dividend; and then back to Ursula for closing remarks. As always, we'll ensure that there is ample time at the end for questions, so if we can save that just to the end of the presentation. Before getting started today, if you can all just take a moment and carefully read through the disclaimer. Just know very briefly, jokes aside, these statements relate in part to the Company's anticipated performance and guidance for 2020, future market developments and trends, operational and network developments and network investments, and the Company's ability to realize its targets and commercial and strategic initiatives, including current and future transactions. Certain factors may cause actual results to differ materially from those in the forward-looking statements, including the risks detailed in the Company's Annual Report on Form 20-F and other recent public filings made by the Company and the SEC. The earnings release and earnings presentation, each of which include reconciliations for IFRS that we presented today, can be downloaded from our website. With that, I'm going to hand over to Ursula. And just as Ursula is walking up, I'll just like to say, this is going to be the last time that you're going to see Ursula on stage as our CEO. So thank you very much, Ursula, for everything you've done for the Company over the last few years. Thank you.
Ursula Burns: Thank you. Good to see you guys again. It's Valentine's day, how about any - you look not too thrilled to be here. Before getting started, I'd like to remind you of some of the announcements that we made earlier. Thank you, Nik, for introducing me. Thanks all of you for being in the room and for people who are listening on the phone. Thank you for being here as well. As I said, before I get too far into the numbers, I'd like to just make sure and remind you that we announced today a significant transition; one is that I'll be stepping down as CEO, but more importantly that Kaan and Sergi will be taking over as co-CEOs of the Company, I'll remain as Chair. This will be the first time that you see them on the stage in these roles and I hope you spend some time asking them questions and get to know them - getting to know them. I've known them now collectively for probably six or seven months. They've worked together for the last four months as co-COOs, and I am very confident in their ability to run the Company and to work together for good results. So I'm happy that they're here. And in addition, earlier today we announced the transition of Vasyl Latsanych who will step down as CEO of Russia in June of this year and Kaan will get into more details about what's happening in Russia and the structure that he is putting in Russia to make sure that we implement fully the already designed and started turnaround plan that we have in Russia. So let me go deeper into the overview of our business. If you've been following us for a while, you'll know that this is a slide that we use to kind of foundation everyone into the business. It talks about our strategy, and it talks a little bit about the achievements that we have in this case for the full year 2019 and for the quarter. First, ours is a business that's positioned for growth in some of the industry's most dynamic markets, which collectively present us with exciting growth opportunities in both our core services but also in digital services and adjacent markets. And 2019 we accelerated our investment activities to ensure that we capture these opportunities through the expansion of our 4G networks, including in Russia where we deployed more 4G base stations than any other operator during the course of the year, and you'll hear in the fourth quarter we installed more 4G base stations than any other quarter in the year for ourselves as well. At the same time, we have strengthened our management structure to make sure that we can focus more locally and deeply on the markets that we are operating in and that we can actually execute on the growth themes closer to the markets. Here we've put in place local Boards. It's a big change for us. Local boards which draw on the considerable talent pools that we have in the markets that we operate in and we include independent directors into this local Board structure to make sure that we stay close to the markets and close to the influences of those markets. And we also appointed the CEOs and these CEOs will divide their attentions amongst key market areas. And as I said earlier, I'm pretty sure that they'll be able to do that extremely well. Second, our Group continued to enjoy really strong organic EBITDA growth in 2019. And it's interesting, it's driven by what we called our growth markets of Pakistan, Uzbekistan, Ukraine, and Kazakhstan. And it offset some of the weakness that we saw in Russia and that was good operational performance along with cost control, both at the headquarters, which we spoke about from the beginning of the year, but also throughout the operating companies has allowed us to actually generate good EBITDA and also good equity free cash flow for 2019. Last thing, which is a big piece of news for us, something that we don't spend a lot of time talking to outside but it's a big lightening of load for us, is that we were able to close down both; the monitorship, the external monitorship, and a Deferred Prosecution Agreement that was - that was on VEON - we did that in third quarter - fourth quarter of 2019. And it's a really important certification and recognition that we are ready for the big time in the real world of managing our business in a very compliant way as we go forward. As I tell my team, this is graduation; so we've graduated, now we have to do it by ourselves, and I'm pretty confident we'll be able to do that. Third, 2019 saw us continue to simplify the corporate structure. When I first got here, we spent quite a bit of time in these meetings talking to you about GTH; the GTH story every quarter. Great news is that we were able to get through the [indiscernible] GTH in 2019. That transaction allowed us to simplify the structure. It brings our shareholders closer to the returns and the dynamics of the markets of Algeria, Bangladesh, and Pakistan, which is all good for us and also good for our shareholders. Also, in 2019 we were able to, along with Telenor, actually lighten the load of Telenor. They sold out of their shares totally in a planned way, the way that they told us they were going to be able to do that. And that allowed us to bring on new shareholders and increase our free float to 43.8%. So I think the basic blocking and tackling portions of structure and operations we were able to do very, very well in 2019. And fourth, we continue to enhance our capital structure. We issued about $1 billion - not about, it was $1 billion of senior unsecured notes. That allowed us to actually refinance some of our short-term debt and borrowings, helped us lower our debt cost, and just improve the process overall. We entered 2020 with a gearing ratio of 1.7x against our 2x target, so very well in range. And we were able to actually design a strategy and implement a strategy that allowed us significantly more flexibility. It's interesting when we look at our return on equity. It's not something that we speak about a lot, and we're going to talk about it a little bit more from now on. We were at 27% ROE which for a market and the industry that's not really known for high returns, this is a very, very good return for our telco business. Our value proposition also extends to our dividend. This year 2019 we'll release total of $0.28 per share, USD0.28 per share of dividend, $0.15 in this quarter that we're announcing now. It's very good dividend return, a very good dividend yield for our company. So good dividend year, capital structure kind of finalized and settle down, a lot of the operational execution areas kind of laid well. And really, really good investment trends that you'll be able to see from both Kaan and Sergi. Turning to our results for the quarter. I'll do these pretty quickly because I don't want to be repetitive, but I would say good, good, and good. So good quarter four. This portfolio really helped us. This was a quarter that showed what a portfolio can do for you; weakness in Russia offset by strength in our growth areas in our frontier markets and allowed us to actually report revenues that grew slightly 0.2% to $2.3 billion. Good operational delivery in the frontier markets and in the growth markets, and a really good plan for turnaround in Russia. So I'm feeling confident. There you will see Pakistan always kind of comes out looking a little bit strangely because of the Sumitomo effects, but Pakistan had an outstanding year, had a very, very strong year. Ukraine had a great year. Kazakhstan and Uzbekistan had very good years as well. I'm also going to bring out Bangladesh of all markets for me to talk about but Bangladesh has - it's a small market for us, a smaller market for us. We're positioned well and our strategy for Bangladesh is good. So in the past, it was a headwind for us, but now it's turning out to be a little bit of a tailwind, and we're pretty excited about some of the futures in Bangladesh as well. So growth was once again driven by mobile data usage, and all of the trends there and it increased 17.7% for us and it's all driven by 4G and new services that we provide to our clients. The success that we secured in managing our cost is evident in our EBITDA. We had $935 million of EBITDA. On a pre-IFRS basis it's $808 million. I'm not going to go through repeating pre-IFRS every time I have to say it. So you can look at it and see it yourself. This represents organic growth of about 12.5% or 30%. And finally, our Group generated a $1 billion in equity free cash flow, $1.36 billion of equity free cash flow pre-IFRS. And this includes the settlement that we got from Ericsson. Let me now talk a little bit about the full year numbers. Same, good performance across the board. Good growth at the top line, reasonable growth at the top line, 3.4% to $8.9 billion, very pleasing organic EBITDA, rose 9.6% to $4.2 billion, and all driven by the same thing; good data usage, good uses of our services, and just implementation of 4 G and offering better services around the world to our clients. Equity free cash flow for the year, $1.36 billion. I told you this already, $350 million from Ericsson in the first half of the year. Cost is a big, big focus for us at the headquarters but in the countries as well. And it will continue to be. We still have a lot of tailwind in this area that we can continue to kind of drive good EBITDA and good cash flow by managing our cost even better. Taken together, 27% ROE. So looking forward, we told you in 2019 that we were going to grow our revenue low-single digits. We're going to grow our EBITDA mid-single digits, and that we're going to deliver $1 billion, check, check, check, 3.4% growth, 9.6% growth, and $1.004 billion [ph] in equity free cash flow. I think it was a solid year. As we move forward into 2020, it's a new decade, and we just have to remind ourselves that we still have a lot of work to do and a lot of opportunities. Let me remind you of those opportunities. First, we're positioned for growth, and we have a diversified set of markets, most of them emerging markets, very exciting demographic trends in those markets. We're positioned for strong organic growth. We're investing to get that growth, we're investing in networks, we're investing in people, we're investing in key services to make sure that we can grab hold of the opportunity in front of us. Second, our Group has a solid track record of operational execution, and it's all built on maximizing growth and continuing to lower our cost. So focus on the places that we can get leverage and lower the cost as much as possible to be efficient, not to be cheap. Our biggest challenge in the near term is Russia, for sure, but I am - we've dived into Russia in unbelievable detail. Kaan will take you through it in more detail and show you some of it here. We have a strategy firmly in place that I think we can implement and take advantage of. And you'll see throughout our organization. I talked about this when I first got up here a year ago or year and a half ago. We have 10 countries and we have 10 great leaders. We have 10 countries and all the leaders are fit for purpose, and we are going to continue to make sure that they have the expertise from the center, the advice from their local advisors, and a set of market conditions that allow them to actually practice how good they are in front of their clients. I'm feeling really good about the leadership team out in the field. Third, we are committed to enhancing shareholder value through capital allocation to actively managing this for us. This means that we're going to strengthen our balance sheet. Debt markets, whenever they present us with an opportunity, we're going to take advantage of that opportunity, reduce our borrowing costs, optimize our fixed funding and our currencies to make sure that we are not over-weighted or under-weighted in any area, that we are really flexible and viable in that area, and I think Alex will get into a little bit of that for you. It also means that we have to continue to focus on our shareholders while balancing that focus through returning value to our shareholders with investing for the future. And then finally, actively manage our portfolio. Ventures is going to start to become a bigger play for us. It doesn't mean we're going to take our eye off of the base Infrastructure business that we have, but we have to actually put a little bit more weight on the Ventures, and we'll be able to do that. We have a great team, started with Sergi but he has a team that he's building under him and the country basis as well that would be able to take advantage of this opportunity that lays ahead of us in the venture space. And before we move and I get it over to Alex, I just want to make sure I'll remind you of our 10 countries, as well as comprising about 10% of the world's population. It actually has an interesting World Bank statistics. We have the top - we have six of the top seven unbanked - highest unbanked nation percentage. This is a huge opportunity for one of our Ventures business of mobile financial services. A lot of people turn away from this kind of a market. We run right into it. It's a big opportunity for us, particularly in offering services that bring these populations closer to the quote-unquote first-world populations. It also enables us to empower them, as I said, to bring them up and the gender mix also is driven - it helped here as well as more women are unbanked than men. So it's facing into all of the positive trends that we're seeing in the world. On that note, let me hand it over to Alex Kazbegi. He will take us through some of the detailed performance. You can come up.
Alex Kazbegi: Thank you, Ursula.
Ursula Burns: Welcome.
Alex Kazbegi: Good afternoon, everybody. Let me start with the first slide, which is to remind everybody of our vision for the Group as a portfolio of diversified assets. We cluster this into three different clusters; the cornerstone, the growth engines, and the frontier markets. Now in the cornerstone, which is largely Russia, our main and bedrock of the business market, we had a challenging quarter. The fourth quarter was difficult as well where we had the pricing, distribution, and network issues, which have been affecting our performance. We have been taking a very active look at the market and we are taking serious measures to turn it around. Kaan will discuss it in much more detail when he comes up here. What we have underperformed in Russia, we actually have outperformed in the other markets, namely in the growth engines. The growth engines, Pakistan and Ukraine, had an outstanding year, double-digit growth of the revenues, also very strong year in Kazakhstan and Uzbekistan. And here the main growth is fueled by effectively data penetration and data growth. In the frontier markets, the performance was a bit more mixed. Here it is also dominated by countries like Bangladesh and Algeria. Nevertheless, they still contribute about 15% of our consolidated EBITDA. What we like in this market is the long-term optionality which we see in those markets. Now to remind you why we are, so to say, in these markets. If you remember also, we are aligning our business and gel between the connectivity, the new services, and the future assets. So if you look at each of these vertical, each of them gives us very exciting opportunities to see delivering growth in the future. For instance, on the connectivity side, we have 212 million subscribers worldwide and only 137 million of them are actually using data services. Ample opportunities to grow there. We are in the markets where the population is going to grow by 10% over the next decade. And if you look at the demographic profile of that population, it's also very encouraging and very much supporting the, so to say, the digital - growth of the digital prosperity in those markets. If you go into the new services where the digital services is highly demanded again by our - by the customers in our countries. Here as well, we have only 34% penetration - average penetration across the Group of the 4G devices, and we only have 3.3 million TV users out of again 212 million subscribers all together. The last vertical, which is the future assets, here specifically we're looking at the financial services and again financial services represent a very interesting vertical for us to grow pretty much in all the markets. We will stop by about Pakistan, which we're specifically excited about. But in general, again here too, we have only 11% penetration of the mobile financial services through our subscriber base and about 7.3 million digital subscribers. Moving to more, if you wish, operational KPIs, and again depicting exactly the same verticals. For instance, in the connectivity business, we grow very fast the self-care applications. Russia is a leader here. Beeline Russia now has more than 20% of their subscribers which are using the self-care app. In the new services business, it's content. Also, as I said, 3.3 million monthly average users. Majority of them are in Russia, again, a nice growth here from the Beeline Russia where we saw an increase to 2.2 million subscribers of the - on the Beeline TV. And the financial services, here again the, so to say, the main component here of the growth comes from Pakistan where, as I said, we're very excited to have this unique opportunity of having a JazzCash, which is one of the leading operator of the mobile financial services in the market and they already have 7.3 million digital wallets. Moving now to our financials. So Ursula covered the annual financials. If you look at more detail in our fourth quarter numbers, the revenues on a reported basis were largely flat. You can see here that the biggest negative contributor to growth was Russia. However, this was offset quite nicely by our growth engines also with Bangladesh. There are two anomalies here, Pakistan and Uzbekistan, which actually shows here as a negative contribution in reality because the countries have had introduction of the new taxes throughout the year. If you actually look at the like-for-like basis, then Pakistan would have shown a 14% growth and Uzbekistan will show actually an 8% growth. A very strong growth generally, so to say, across the Group. Also you can see that this is probably for the first time this year, we had a positive movement in FX, and FX actually contributed positively to our numbers. Lower side on EBITDA, since the picture is very similar. However, again, if you look at the Russia contribution to EBITDA, while it is negative, it is actually much smaller negative than the revenues, which means that actually on the margin side, Russia actually did quite well. Also what I want to note - highlight here is the corporate costs. Those corporate costs in Q4 also have a provision, a severance provision of $55.5 million, and nevertheless, the corporate cost has had a positive contribution to our fourth quarter numbers. As a result of that, the overall organic EBITDA grew in the fourth quarter year-on-year by 12.5%. And we saw in the same quarter a 4 percentage point expansion in the EBITDA margin. If we look by product - the same chart by the product, you can see clearly that voice continues to decline, and it's more than offset - well, it is offset by the data and the MFS growth. On the EBITDA side, you can see that the small fall in the service revenues have been more than offset by the cost reduction throughout the Group. And that comes both from the operating units as well as continuous reduction at the headquarters as well. The net debt development, we're quite pleased that our net debt year-on-year from the Q4 '18 to Q4 '19, net debt to EBITDA didn't really change, 1.7. Having said that, I have to say that if you adjust for Ericsson, which has been included in our EBITDA, the actual EBITDA would have been closer to 1.9 times net debt to EBITDA. And if you look at our gross debt performance then here, we've been quite busy over the last four months. First, we raised about $700 million bonds in October. And that followed by another tranche of about $300 million which we raised in January. So altogether we raised about $1 billion of fresh debt. That's mostly to retire revolving credit facility and reduce the cost of borrowing altogether. The cost of borrowing indeed declined, however, quite marginally, from 7.5% last year to 7.4% this year. But that is partially explained by the fact that in the meantime our actual exposure to the ruble debt increased from 42% of total to actually 47% of total. And clearly the ruble debt carries higher coupon. So when you look at the weighted average numbers, they are a bit hiding the reality, if you wish. The maturity of our debt came down from about 3 to about 2.4, but what is also good that the total cash and unused, committed credit lines at the end of this quarter comprised actually $3.2 billion. Now with that, I would like to invite Kaan to talk in more detail on our operating performance.
Kaan Terzioglu: Alex, thank you very much. Hello. I would like to give a little bit more color about our operations in Russia and Kazakhstan. As Ursula and Alex mentioned, we announced today quite strong results compared to our guidance, exceeding and meeting those, but we are not shy of also talking about some difficulties that we are facing, and I want to give you a little bit more detail about our get well plan in Russia and how things are going. So first of all, if I would present a chart like this with 6% growth over '16 to '19 in a developed market, it would have been a quite good picture, but we don't benchmark ourselves in developed markets. For an emerging market, with 55 million customers we have, only 38% of them being a 4G subscriber, we have a unique opportunity in Russia, which we felt like we have been delayed in grasping. As we said at our Q3 results, our Russian operation has been underperforming based on our own expectations. There are clear issues. We have a network quality gap, which we have been addressing in the last six months and which we will be completing our works for the next six months. Russia overall is a very inefficient market overall with distribution. We also suffer from the same issue. And as you will see later on, our focus is first digital and optimizing our physical distribution network in a new business model perspective. Price; Russia has been marred with unlimited, undifferentiated offers for a very long time in the past 18 months. The good news is market is rationalizing and getting rid of these type of unlimited, undifferentiated offers into much more reasonable economically sensible offers. And naturally all these impacts have been showed its effect in our latest Q4 results as well. We fell 3.3% year-over-year, and clearly, we are looking for ways of turning this trend over the next couple of quarters. Our total decline in mobile services revenues has been 5.9%, and it's a combination of pricing as well as 1.1% decline in the subscriber base. Even strong - very strong business momentum on B2B business and home connectivity has done little to compensate this. No surprise that we are exactly focusing on these issues to turn our business back into the growth mode. Compared to a year ago, today we have 48% more base stations in Russia. We have been accelerating closing the gap. Actually, as Ursula mentioned, we have been number one in terms of deploying networks in Russia this year in 4G. And 86% of the population, up from 78% last year, is now covered with 4G. The business, the growth potential is clearly on the LTE customers. There is a clear differentiation of revenues per subscriber based on 2G, 3G, and 4G, which is up to 2.8 times. As you can imagine, as we develop more customer base on LTE from 38% to 50% to 60%, we are going to see the impact of this important digitalization as well. Our moto, as I mentioned, is digital first. Our industry is blessed with every single customer with a smartphone having a shop in their pockets. We have to leverage this. Today, we have more than 10 million active users on our My Beeline application, which is 28% of our total base, and these customers are able to be enjoying a much easier way of dealing with their Internet consumptions. We have to leave no customer behind and get this 28% to 100%. It's a very important step in terms of increasing our distribution efficiency in the market. Along these measures, we have also noted that we have to change our organization so that we can have a higher capacity to execute, simplifying the organization, focusing on core functions, naming a Chief Customer Experience Officer to put the customer back on to the top table has been one of our priorities. As we announced yesterday, our General Manager, Vasyl Latsanych has decided to step down, and during the period that we will be looking for a new leader in Russia, I will be taking over the executive powers as the Chairman of the local Board of Directors in Beeline Russia. Vasyl will continue to support me as an advisor during the next six months. And I really would like to underline, our most critical thing is to get our Net Promoter Scores back to the number one position, step by step, first in Moscow, then in the top 12 cities, and later on in the entire Russia. As I mentioned, this exercise has been going on for the last six months. We have already started seeing our results in terms of we catching up with investments, quality of our network improving, and also stabilization of the pricing in the marketplace. Russia, on the other side is a prime market for growing ecosystem of new services. Just look at these three specific examples. 10.1 million active subscribers of My Beeline application means sales channels for cross revenues is implemented. We have an opportunity to double, triple this number over the next two years and our success will heavily depend on digitalization of our customer interface. Beeline TV has already reached 2.2 million monthly active users, and on the mobile financial services, we have reached almost 5 million subscribers. And all these things prove that if we are able to enhance our LTE base, subscriber base, we will be able to see the results of turning the business in the next - by the end of this year. So just to summarize, the clear actions we are taking in Russia; customers at the heart of our business. We will be focusing on 10 commandments for best customer service, and we will be known for it over the time that we will implement our changes. Improving network coverage is critical for our business. We have a plan to improve and become the best network in Moscow in top 12 cities over the next 12 months and also start complete coverage of the metro in Moscow and Saint-Petersburg. Digital channels is the fundamental of our business and also is a way for us stepping stone for developing into adjacent markets. We are going to be closing down our unprofitable stores, and this number will probably be reaching around 600 over the next couple of months. Enhancing the customer value proposition through segmented offers but more importantly growing the customer engagement in the new digital and adjacent markets will be our plans for improved performance. I would like to mention that our Q4 results in Russia has been kind of the end of the trend, which we will see growing over the next couple of quarters, and in Q4 we expect to be back on year-on-year growth terms. A little bit about Kazakhstan. This is the first quarter we are giving more light on Kazakhstan in terms of our disclosures. A beautiful market moving from three-play to two-player environment, getting stability, and also higher customer attention in the 4G markets. 41% of our customers are LTE customers, and this number has doubled over the last 12 months. And as you can see, our convergent products, meaning that customers that are consuming voice and data but minimum one more subscription-based service from us, the revenues from these type of customers have been up 76%, thanks to more TV subscribers, which increased 65% and also financial services subscribers, which increased 117%. Our business here is also operating under the name Beeline, and it is one of the most successful operations in growing its subscriber base. Our new brand called Easy [ph], which is a digital-only brand is a pure-play case of how we can tackle customer acquisitions utilizing our digital channels. And beyond 4G, Kazakhstan is also the market where we are looking for 5G testbed. We have deployed one of the biggest territories, almost 13 square kilometers of area, lighting up with 5G for potential vertical-based solutions. And in this environment, we have 1 gigabit per second of speeds tested successfully. And as I mentioned, Kazakhstan is also an area where Sergi's and my efforts of building a next-generation digital operator is tested and producing results. Let me now hand over to Sergi for a little bit more about Pakistan and Ukraine. Sergi?
Sergi Herrero: Thank you, Kaan. This may be Ursula's last earnings call. It's my first earnings call, so bear with me because I'm not used to do this. I would like to talk first about Pakistan. You know Pakistan well. It's been one of our biggest and fastest-growing markets. This is true also for Q4 where we saw our revenues grew almost 16.1% if we - sorry 14.1%, if we exclude the impact of the new tax regime. The reality is that we are leaders also in 4G. Our network is the fastest and most reliable one, and this also translated in our user base where we grew up to 61 million customers. We want to use this opportunity to extend our position there, and we see partnerships as a way to do it. An example is the one that we launched with Kai - KaiOS. You probably remember KaiOS. It's popular because of their partnership in India with Reliance. What we did here is to bring these devices to a market, which has 90 million 2G handsets, 90 million in a population of 200 million. We see this as a pocket of users that we are not serving today. The goal here is to provide cheap but very powerful device, so people that are not using 4G convert to 4G. And the idea also here is to expand two verticals that today we're not covering, like our ecosystem which probably you heard about. We talked about JazzCash in the past. We mentioned it before JazzCash just passed actually 8 million wallets, which is a very nice growth there. But we want also to complement this ecosystem with more apps. One of them is JazzTV. JazzTV is the largest paid streaming app in Pakistan, and I would stress the paid component, because it's a market which is not well known for paid apps when it comes to TV consumption. We have more than 1 million monthly subscribers, 5,000 hours of content and live sports like cricket, which is a main thing in Pakistan. We're going to continue to invest in that area to bring local content and make it a true Pakistani experience. The fact that the app has been downloaded 4 million times in the past few months reflects the interest and the engagement that our users have with these types of products. The second app that I wanted to talk about today, it's the partnership that we launched with BIMA [ph]. It's a healthcare app. The product here allows you to have a teledoctor, a telemedicine product 24 hours available where you can connect with a doctor anywhere in Pakistan. They provide advice when it comes to health, but you can also order your prescriptions and get it delivered to your home with a reduced cost and the same quality of original pharmacy. This is pretty relevant, because Pakistan, as you know, it's a very rural area. So it requires these type of services. So we are very proud of these two. The idea here is to continue to build this ecosystem, so people see value on being a Jazz customer, but not only for Jazz customers. The idea here is to also open it up to other customers that are not Jazz. The focus for this year, as we said before, it's to continue this conversion of our user base to 4G. We see it growing quite nicely, but we want to accelerate that part. We also want to accelerate the growth of our ecosystem. I mentioned three of the big apps, but there is also other areas that we are exploring there. And finally double-down with JazzCash so we can finally position it to grow. If I now move to Ukraine, this is another market where we enjoyed a lot of growth for the past years, and this is also true for this one where we grew 16.1% our revenues. But also more importantly, the loyalty of our customers, it's been constant. We have the lowest churn in the market with 4.7%. The plan here is similar to Pakistan, continue to invest in the 4G rollout, build an ecosystem of apps, mainly financial services and content distribution, and finally upgrade these consumers to 4G. And with that, I'll bring it to Alex.
Alex Kazbegi: Thank you. Second try. Just few words on the capital allocation and our priorities. So going back again to our triangle, which we introduced during the Capital Markets Day, and we discussed about the way how we look at our business, which is an interconnected, businesses of connectivity, new services, and the future assets. So with that, that also defines the way how we look at our investments and our priorities of investments. So the first priority is into the connectivity where the network and especially improving the network in Russia has the number one priority. But not only in Russia, we will be investing also to expand and improve our general coverage and capacity and speeds in all the markets we operate, especially on the 4G side. The second priority is to ensure that we continue to grow our ecosystem of the new services, and that means investing more into digital and investing more into any kind of adjacent services, which we'll see fit into our business. Number of them have been discussed by Kaan and by Sergi in their presentation. Third is the future assets, and here we have one specific opportunity, which is JazzCash. JazzCash has a fantastic franchise in Pakistan and we believe that by putting the money now, we can grow this into almost a standalone business over time. I think the time for investment into JazzCash is now. And last but not least, future assets is something where we will take more ad hoc decisions on number of the projects which we will be reviewing, and we will see how they fit and complement the overall Group's ambition to continue and deliver the growth. The purpose of all these investments is to return to the growth, very simple. We want to grow and we want to do this by investing very specific areas. The long-term idea here, of course, is to create the long-term shareholder value. Talking about which on the dividend side, the Board yesterday has approved the final dividend for the year. It is $0.15 a share, which brings the total dividend for the year to $0.28 and that's about 70% payout of the equity free cash flows after licenses. If you recall, we have defined our dividend policy as set at the minimum paying out 50% of equity free cash flows after licenses subject to gearing not going beyond two times. So we clearly show that we not only are capable, but we are willing to pay more than 50% if our situation provides this opportunity. The last one would be to go to our guidance for 2020 and here we have the total revenues. We are looking at the low-single digit local currency growth. We are looking at mid-single digit local currency growth in EBITDA. This is very similar to actually what we had already for 2019. And the last one we're actually changing a bit our guidance here. We used to guide on equity free cash flows. We think it's much more relevant to guide on operating CapEx to revenues and that will be somewhere between 21% and 22%. I have also to say that over time this number will clearly decline. With that, I would like to turn back to Ursula for closing remarks.
Ursula Burns: Stay up there, Alex, because you're going to come up soon anyway. Oh no, I guess you can get down. So thank you. We're going to move into Q&A. So guys can come up and we can start positioning the chairs while I'm closing. 2019 a pretty good year, lots of changes inside the Company, obviously leadership changes across the top of the Group, big change in Russia, and a big focus on Russia and making sure that we can really get all of the engines growing. We have the growth engines growing, we have to get this core market growing, and continuing to move the frontier markets along for us is a big deal. You saw the financial guidance. Basically a mirror of this year, and I I'm pretty confident that we can deliver that. As I said, returning Russia the growth is a key priority. Services provision through 4G, through a pickup of the population, and using our services and delivering them, network capacity, just investing for the basic business is what we're going to do, and we want that to parlay itself into growth. We talked about - we no longer even spend a lot of time on head office. It is the way it is. We continue to shrink the cost in the head office, but more importantly, increase the focus to adding value to the field operations, and we're going to invest to grow the future of the business and make sure that we do that while returning value to our shareholders. So look for us in - well, look for them in 2020. I'll be sitting in the audience when that comes around. So, thank you. Now let's go into Q&As. I think is there anybody who's going to help us with this or I'm going to do it myself? I'm fine with it. And we got mics around, so why don't you ...
Q -Alexander Vassiouk: Alexander Vassiouk from Prosperity Capital Management. Just wanted to clarify on your dividend outlook and policy. So it sounds as though you're not quite sure what's going to happen. So you are - you prefer to wait and see whether to maintain the dividend and so on. So maybe you can help us understand. And yet if we look at your CapEx guidance, it doesn't seem as though you are going to increase your investment in absolute terms in 2020, and yet your leverage is still within your policy. So what's your position on this capital allocation versus dividends and why are you not so sure about your ability to maintain dividend at this point?
Ursula Burns: I'll have Alex start and then...
Alex Kazbegi: Well, first of all, I mean if you remember at the Capital Markets Day when we introduced the new dividend policy, the whole idea of the dividend policy was to give us flexibility in order to choose whether we could take - we don't want to miss on the opportunities which we see in the markets. The previous dividend policy was very restrictive in terms of what we committed, so to say, to pay, and we thought that it will be much easier for us to maintain something where it is fairly clearly defined. It's at least 50% of the equity free cash flows after licenses. But having the ability to redirect the funds to the projects which we find are interesting for us. Talking about the CapEx, actually CapEx is going to be in absolute terms higher this year. So there is absolutely no doubt about that. We have about 3 percentage points increase in the CapEx spending if you look at the CapEx to revenue. So there's clearly more investments going on. And as we define these investments, they're very targeted for the areas where we see either necessity to increase or we see the growth opportunities. That's why I highlighted the network, highlighted the Pakistan JazzCash, and highlighted any other, so to say, opportunities we might see in terms of providing the new digital services and so on and so forth. The last thing about maybe what you meant on dividend is that there will be only one payment of the dividend for this year. And we didn't want indeed to continue giving guidance for the future; again, for the same reasons. We just want to keep the flexibility, at the moment, which gives us the opportunity to make a bit more agile decisions about where to invest and how to grow.
Alexander Vassiouk: Yes. Sorry, but it's a bit confusing. So your CapEx to revenue in 2019 is 23.1%, yes, based on your press release, page 10?
Alex Kazbegi: That is maybe…
Alexander Vassiouk: You're guiding to…
Alex Kazbegi: Maybe that has something with the IFRS adjustments. I think...
Alexander Vassiouk: Now that's…
Alex Kazbegi: That should be including IFRS.
Alexander Vassiouk: Okay. So pre-IFRS, it's 19.6%.
Alex Kazbegi: Correct. That is fine.
Alexander Vassiouk: Right? And your…
Kaan Terzioglu: One-off investment, especially [indiscernible].
Alexander Vassiouk: Okay. So you are…
Alex Kazbegi: That's why I'm saying three percentage points above what we did before.
Alexander Vassiouk: Okay. But then you're also targeting some revenue increase. So it's not really like a step-up in CapEx, right?
Alex Kazbegi: Well, it's not significant investment because I mean we're also not feeling that we need to make a significant investment. We are feeling that we need to have - we identified the areas where there is extra CapEx required, and we are directing it that way.
Alexander Vassiouk: Okay. So what is risk that you might want to reconsider your CapEx level for 2020?
Ursula Burns: Higher or lower, I think it's fairly - we are pretty disciplined and have been over the years, not only this year, over the quarters and over the years in CapEx. So I don't - I think that the outlook that we have now…
Kaan Terzioglu: And maybe also it would not be right to compare when we talk about an increase from '19 to '20 because in '19 we have already taken actions to increase our actually CapEx.
Alex Kazbegi: Correct.
Kaan Terzioglu: So if you look to the trend in '17 and '18, this is actually really the level that we need to see the CapEx investments.
Alex Kazbegi: And as we were also saying that after this year, we will see this trending down rather than trending up.
Alexander Vassiouk: Okay, thank you. [Indiscernible] 22% of revenues versus '19 and the revenue growth was flat. That would imply 15% more CapEx. And if your revenue is growing that we've guided for growing revenue that in fact implies that CapEx is growing north of 50% year-on-year. So effectively our guidance is for our CapEx to grow between 15% to 20% year-on-year. So that it is quite a big step-up in CapEx.
Kaan Terzioglu: Okay.
Ursula Burns: Okay. Next?
Matteo Scolari: Matteo Scolari from Exor. I have a question on Russia. I'd like to understand better the issue of the network quality. Can you maybe explain in more detail what the issues are and what actions you're planning to take to fix them and a timetable as well if possible? Thanks.
Kaan Terzioglu: Sure. Russia being 50% of our business, Moscow is almost 50% of that. So Moscow experienced over the last two years a significant swap of the network from one platform to the other. And I have to admit that our execution of that swap has not been up to the standards that we would like to see. Now the issue - the good side of the issue is we know exactly what the issues are and we have put remedies already in place to improve the quality of our network. We will not only improve the current quality of the network. We will enhance our network coverage in Moscow and [indiscernible] of Moscow, as well as covering the metro. Now we have already started covering the metro with Wi-Fi, so our customers are actually now enjoying connectivity also in the metro and the stations and the tunnels. But over the time, we will also deploy in the metro as well. It will take a little bit longer, one year, to complete the LTE deployment there. But we have identified the pain points, which was affecting our customers, and we are addressing those one by one. Now Moscow will be followed by Saint-Petersburg and the top 11 cities on top of that. And we are progressing with the overall rollout. We are currently at 86% of LTE coverage in Russia and expect this to reach towards the 90%-ish by the end of the year as well.
Ursula Burns: We do expect to start to see a positive impact towards the end of the year. Some of this will take time but. Next question. We have some on the line. So, operator, please queue the questions on the conference line.
Matteo Scolari: [Indiscernible].
Ursula Burns: Can you hold on, sir? We have to turn up the volume a bit.
Nik Kershaw: So, operator, are there any questions in the conference call, please?
Ursula Burns: While they're getting their act together, any questions on the floor? We'll take one more here.
Operator: Our next question comes from the line of Alexander Vengranovich from Renaissance Capital. Please ask your question.
Alexander Vengranovich: Yes, good afternoon. Two questions from my side. So the first one is on your listing structure. Do you have any specific plans to change it this year? Are you comfortable with your Amsterdam and US listing that you have right now? Do you plan to have any measures to implement to change this or to make the listing structure more attractive for your investors and potentially get some inclusion in the relevant indices? So that will be interesting. And just the second question is more like a matter of interest. Do you have any disruptions in any of the markets where you operate with regards to the supply of the smartphones because of the Chinese virus outbreaks? Thank you.
Ursula Burns: Why doesn't Alex take the listing and Kaan why don't you take…
Alex Kazbegi: Yes Alex, I'll take the first one. I mean the question definitely is close to our hearts. I mean we understand the issue. We've been looking at various potential, so to say, opportunities but we haven't made yet any final decision. So I think that it will be fair to say that once the final decision is made, we will of course communicate back to the markets, but we are very much aware of that opportunity for us.
Alexander Vengranovich: Alex, can you communicate the timing maybe when you'll be ready to communicate the decision, whether you're going to change the listing structure or not, or you can't…
Alex Kazbegi: I think we'll communicate when we're ready to communicate.
Ursula Burns: We're not ready to do that now, but I think Alex's answer was pretty comprehensive.
Kaan Terzioglu: And with regard to the supply chain, especially about smartphones, there is no doubt that the supply chain is impacted. However, the current impact is limited to improving of the stock turn rates. So I'm actually happy that that market gets rehabilitated in most of our operations.
Alexander Vengranovich: Thank you.
Ursula Burns: Tell me when the phone - operator, tell us when the phone line is ready. But in the meantime, we'll stay in the room.
Unidentified Analyst: Hi, this is Dilya [ph] from Citi. Quick question. Well, actually two. Could you give us a bit more insight on the decision to structure the management the way you did and how you decide - why you decided to split the markets the way you did and why not, for example, growth and frontier, or is there any synergies in doing Russia and CIS and then the Asia and Middle East together? And second question is on your targets for asset optimization or portfolio optimization rather. Maybe if you could give us update where you see opportunities and whether they are long-term or medium-term or short-term?
Ursula Burns: So, first just to clarify or make clear the split in the markets. These two individuals will co-lead this business. There is not like one guy runs Russia, the other guy runs. They're either Chairs or Deputy Chairs or what do you call them, Deputy Chairs of each of the markets. So it's not like he does Russia, he just does Pakistan. It's going to be co-leadership. They have a different set of intense skills in certain areas and what we want to do, we've picked markets that need those intense skills to align with the individual. So, Pakistan is clearly a market that will - that's operating very well and will hum on the Ventures space and on the growth space. That's the only split. There was no trying to put it together in any kind of scientific way other than where they like to travel, think about it that way. But it's not really that scientific. And I expect them both, I and the Board expects them both to co-manage the markets and to bring whatever skills they can to each of the locations. Your second question was about…
Unidentified Analyst: Portfolio optimization.
Ursula Burns: Right. So portfolio optimization, and I'll ask Alex to take that one.
Sergi Herrero: If I may interrupt, to complement Ursula's question or answer. Russia for me is one of the markets where I expect to see most of digital. So I am not sharing that particular work, but the time that I spend and the focus is definitely, probably the biggest one among of Pakistan and Ukraine. So the idea here is to leverage the best of both sides and definitely when there's something about network optimization, can he's better positioned than myself and the other way around. There is something about digital [indiscernible].
Ursula Burns: And the reason why we did the co-CEOs, that was the first part of your question, there's a lot of ways to run a business, a lot of ways structure it. We actually had the opportunity to get - because Kaan was on our Board for - how many months before?
Kaan Terzioglu: Yes, four months.
Ursula Burns: Yes, four months before. We had the opportunity to get two leaders in, and I think it's a great opportunity for me to try. So we went to the Board and said, yes, how about this? We can bring this and it's 10 markets, they are very different, they are moving very fast, and they large. And all of them - both of them have a set of core connectivity, intensity that we have to focus on, and a set of new services and new offers. And what generally happens in these kind of situations is that you double down on one or the other, not both. And what I think we can do for the next couple of years for the foreseeable future is kind of run this doubling down on both where we have a guy who can think about this, while the other person is thinking about that, but they have to work closely together because they are - they can only coexist. So I think it's a good way to do it when you have the talent that we have.
Sergi Herrero: And if you look around, the other telcos, they tried to do some real split because they had to deal with this type of dilemmas, either you focus on doubling down on connectivity or trying to become digital. What we've tried to do with this is have two people. So this way we don't become kind of a schizophrenic and we can complement each other in these two areas.
Kaan Terzioglu: And actually what makes me excited about this joint leadership is we set the tone at the top to every local operation that it takes digital and also the telco capabilities to work together. And telcos are big, slow animals. They can crowd out digital very fast. And I think by setting the tone at our level, we will make sure that this is a joint teamwork and the next-generation telco will be about actually different skillsets working together.
Ursula Burns: And Alex?
Alex Kazbegi: Yes, I don't know what you mean by optimizing. We're not looking to optimize. We are looking to maximize, maximize the returns. So question is if you - if your question is about do, we look at any M&A possibilities, well, the honest answer is that we always do, but we cannot disclose those things. I mean, one thing which you know, we are in the process of at least selling Armenia and there was a news about that. So there is a process, there is regulatory approvals which are still pending. That is one thing which I can comment on, but in general [Technical Difficulty] our Capital Markets Day, we showed that the returns on invested capital in majority of our markets are actually significantly above weighted average cost of capital. So if anything, what we're looking at is that where and how can we enhance those returns rather than optimize in the sense of trimming down anything. That's not the agenda.
Ursula Burns: Why don't we try a phone call question now?
Nik Kershaw: Yes, operator, can we take another call?
Operator: Your next question comes from the line of Ivan Kim from Xtellus Capital. Please ask your question.
Ivan Kim: Hi, I have a couple of questions please. Firstly, for how long CapEx will have to stay high in Russia? So if you could give us some color on what happens beyond 2020. And also what's the Yarovaya CapEx in 2020, please? Secondly, your [indiscernible] costs in Russia, if we exclude all the one-offs, went down about 10% in the fourth quarter. So I'm just wondering what's being cut so aggressively. That's question number two. And then question number three, I understand it might be very hard to comment on that, but any color you can give on the mobile service revenue, expectations for Russia in 2020 would be very helpful, because I think you previously said that you expect the turnaround to happen about mid-year? So we should see some better numbers in the second half '20. Is that still the case and should we assume kind of flattish service revenue or further revenue losses? Thank you.
Kaan Terzioglu: Yes. So, Ivan, with less than 40% penetration of LTE in our customer base, it clearly shows that we are still in the ramping-up phase of deployment of LTE networks in Russia. So you should expect this trend to continue until we hit 70% on that metric. And it's going to probably take over 18 months or so to reach that position. When I look to our trending upwards, you will see earliest Q4 us getting positive trend in terms of showing mid-single digit growth year-on-year in Russia in service revenues. But, of course, it will not bring the total year to a positive trend. We will still be low single-digit decline for the entire of the year - this year.
Ursula Burns: And a question on CapEx.
Alex Kazbegi: Well, I mean, CapEx is concurrent to what Kaan said. I mean if we need to invest more, we will of course do. We have a program. As Kaan said, it's probably going to last for about 18 months. So there will be a tail maybe in 2021. Now in terms of the Yarovaya you ask, 2020 will be the last year of the Yarovaya. So clearly you are looking then for 2021 the CapEx intensity to decline. However, what we gave the guidance in terms of 21%, 22% vis-à-vis 19.6%, this is like for like because clearly there was in '19 an element where we invested into Yarovaya as well.
Ursula Burns: I think we got all your questions. We have two more on the call. So why don't we get through - we have two more on the call. Why don't I get through one more of those and then we'll come back to the room? Operator?
Operator: Your next question comes from the line of Rahul Bhat from JPMorgan. Please ask your question.
Rahul Bhat: Hi, guys. Thank you very much for the call. Can I just ask on your debt refinancing plans? It seems like you got around $3.7 billion of debt coming due in the next two years. How much of that are you looking to refinance or are you thinking of paying that down and using uncommitted facilities? And the second one is in terms of the mix of your debt. Now post derivatives you've still - you've got like around 50% of debt in rubles. Is that the right mix that you're looking at, or do you want to raise more local currency debt and reduce dollar debt further? Thank you.
Alex Kazbegi: Well, the reduction of the dollar debt generally would be the purpose, of course. Question is that ideally what we would like to do is to swap the debt into the other currencies, the ruble. If you recall, 43% of our EBITDA comes from Russia. So clearly having 47% of the gross debt exposure to ruble is actually matching that exposure quite well. Question becomes what is the possibilities really to swap or raise the debt locally, and in many countries, this is just not feasible. In terms of refinancing or retiring the debt, I would say refinancing will be the priority. But we wouldn't - we cannot give you, of course, any guidance in terms of how and when it's going to happen, but the refinancing will be the route which we'll be looking through.
Ursula Burns: Thank you.
Rahul Bhat: Thank you.
Ursula Burns: In the room? In the room? If not, we have one more on the phone. Why don't we take that and be ready in the room for the next question? Operator?
Operator: Your next question comes from the line of Igor Goncharov from Gazprombank. Please ask your question.
Igor Goncharov: Yes, thank you very much. This is Igor Goncharov from Gazprombank. I have three questions. One is in relation to your decision to pay dividends once a year. Could you please clarify what's the thinking behind that, because I mean if we look at your peers in Russia, they're clearly paying twice a year. And this looks like something that may reduce the appeal of the stock to the investors. That's number one. Number two, a year ago at a similar call you were providing guidance that you would expect running - sustainable running rate of the free cash flow pre license is at about $800 million per year. Does this guidance still hold? Is this something that you expect - still expect going forward? And question number three. Looking at your chart, this is slide number 31, when you kind of show the license spending at about $300 million a year this year, could you give us some indications of what would be the sustainable average level of license spending going forward a year? Thank you.
Ursula Burns: Alex, first on two to one.
Alex Kazbegi: Yes. I mean the question about the dividend paid ones, I mean never say never. So I think that what we are just saying is that for this year there will be one payment. That's the decision of the Board. And as you know, the dividends are a prerogative of the Board decision, so come next February or March, Board can make a different decision. So I would probably stop there. Secondly, the second way of answering the same question is that because you mentioned there, does that decrease the appeal for the stock. Let me put it this way. Did the 12% yield increase the appeal of the stock? Maybe that's another way of looking at it. I'm not saying that we will be reducing the dividend going forward. But this is also the way how we can say that we need flexibility, we want to grow, and I think growth is the main thing which hopefully all of you are looking from us to deliver. Second question was on…
Igor Goncharov: On the sustainable free cash flow, in the future - a year ago, you were showing the level of approximately $800 million a year, pre-license.
Alex Kazbegi: Yes, correct. We don't guide anymore on that metric. And by the way, if you recall that one was based on the FX rates which were fixed in February 2019. But if I go back also on your question about the licenses, I mean the $300 million which we put there on the chart is basically $225 million, which is a deposit, which we had to put against the pending court case for the license in Pakistan. If you remember, the all outstanding number was $450 million and we had to deposit $225 million in order to then challenge the decision in the court. So that includes that number. So the run rate, if you wish more normalized rate or what we usually pay for the frequencies, for the licenses, without any license renewals tend to be somewhere between $75 million to $100 million a year.
Kaan Terzioglu: Maybe, I want to…
Igor Goncharov: But excuse me, I mean the license renewals, they are not - you cannot avoid those. What should we put in the numbers going forward approximately as a manual of spending?
Ursula Burns: Yes. Igor, that's why we said that we would - when we looked at our dividend policy, that's why we linked it to the equity free cash flows after licenses because indeed without licenses we cannot conduct the business. So that's a natural part of what we would be paying for to continue being a going concern. In terms of the renewals, you could probably look through any kind of disclosures and see where the next renewals are coming from. I don't think there is much of a secret of that. However, in terms of the timing of those payments, that's where the difficulty lies. As we said, for instance, the Pakistan license on Warid [ph], which is the one which has been now disputed in the courts has been due to renew in May of last year. And it actually is still not settled. So it's very difficult for us to give you a better guidance on those numbers.
Kaan Terzioglu: Maybe I want to answer a question which is not asked.
Igor Goncharov: Okay, thank you. Just one clarification. If we set apart Pakistan story with regards to 2020 only, what kind of payments - significant payments you expect this year apart from Pakistan?
Alex Kazbegi: You were talking about the license payments?
Igor Goncharov: Yes, yes.
Alex Kazbegi: I don't recall we have any other significant payments due in 2020.
Igor Goncharov: Okay. Thank you very much.
Kaan Terzioglu: No, there's none. So an answer, which is not asked yet, but I want to share with you considering the interest in Russian market. You have felt the confidence in our business in Russia, but I would like to explain why I'm also bullish in Russia overall. The regulatory environment changing in Russia, putting more data sovereignty principles is actually a very positive thing I believe for the local development of the digital economy. If you look back 10 years ago and compare a market like India and China and compared the impact of data sovereignty in the Indian digital marketplace in terms of development of new enterprises, new investments, and development of the overall economy, it has been phenomenal. Well, India still stays as a software maintenance hub, actually China is a digital economy tycoon. And I believe the actions taken in Russia in terms of data sovereignty, Russia's data staying in data, being processed by Russian technology companies, gives us as a telecom operator unique opportunities. It's up to us to grasp them and I think this is one area that I would like you to keep in mind looking to the Russian technology and telecoms market.
Ursula Burns: Thank you for that. We have another question on the line from Bank of America. Let me take that one. And then we can take in the room question.
Operator: Your question comes from the line of [indiscernible]. Please ask your question
Unidentified Analyst: One is, you just recently canceled unlimited data plans in Russia in the beginning of February. What would be incremental impact it might have on the path towards returning to revenue growth? And the second one is, can you please update us on the $300 million option for the 15% stake in Pakistan. And if its implementation might also potentially impact your dividend decisions? Thank you.
Kaan Terzioglu: Okay. With regard to the unlimited plans, as you know, we have repriced them. Actually we are physically taking them off the market. They are only available based on special request and actually they are priced in the right and fair way moving onwards. Overall, in Russia, if you look to the market, I would expect a normalization and increase of the prices, and this is already taken place by all the movements of the players. Considering the higher costs of Yarovaya type of projects. So I think pricing normalization is in place and elimination of the unlimited, undifferentiated tariffs is also going away.
Alex Kazbegi: Now with regard to the option price, I mean, it's actually disclosed, the book value, carrying value of that price is about $340 million. We have no visibility on the actions of our minority shareholder in Pakistan. We actually have good relations with them. So we are, of course, evaluating the pros and cons of that option, which indeed comes due sometime in the middle of the summer. But we have no other comments to make at the moment. But indeed, as it's a discretionary spend potentially and may not be triggered even by us, that clearly keeps us, so to say, keeps additional, so to say, gives us additional cushion to keep it in mind when we're thinking about the dividend policy and the payouts this year.
Unidentified Analyst: Thank you.
Ursula Burns: Thank you. And we have question in.
Unidentified Analyst: Thanks. I just had three questions. One follow-up on the unlimited plans in Russia. You mentioned that you are repricing. Just wanted to clarify, are you repricing the archive tariffs as well? And with regards to closing tariffs, like close to new customers taking the tariff, just wanted to check whether I understand it correct?
Kaan Terzioglu: We have a phased execution of repricing the existing tariffs as well. In the first phase about one-third of our customers will be impacted and it will be a second phase later on coming around April.
Unidentified Analyst: Thanks. And two questions. One is on one of your frontier markets, Bangladesh, whether you see opportunity increasing there with the difficulties of the larger player that is having [indiscernible] related to the taxes. Yes, so the second question is on Bangladesh, whether you see any change in opportunities as the larger player is having difficulties. And third question is on JazzCash, if you could share some financial metrics, maybe contribution to revenue or which transactions are the most popular or transaction mix, anything?
Sergi Herrero: So on Bangladesh we are really bullish, not because our competitors are facing headwinds. It's because of the market. If you look at the numbers, it's one of the biggest and growing markets when it comes to young population. So smartphone penetration is escalating. We see opportunities in connectivity, but we see a lot of opportunities outside connectivity, and that's how we are approaching it. I think that government has been quite open in that regard. And it's building on what Kaan said. It's one of these countries that believe that data has to reside in the country, and we are well prepared to serve that opportunity. Going back to Pakistan and JazzCash, we don't talk and, quite honestly, I don't focus on the contribution yet of the users. We are focusing on growing, and that's where we spend most of the time. As we said, it's crossing the 8 million wallets at this point, which is a very nice organic growth, I would say. We are planning this year to accelerate and double down on this growth. And that's how we see this type of products. It's a wallet product. So basically, it's B2B, bill payment, and even micro-loan, which is something that we are very proud with their top transactions in terms of volume. We're going to expand beyond that. I think this is just the way to provide immediate value to customers. But based on what we have also on Jazz, we see a lot of products on the financials ecosystem to provide to our users in the near future. So we're going to expand it.
Ursula Burns: It's interesting. Sergi said that we don't focus on the financial metrics yet but we focus on growing. This is something that this split allows us to do, even though Kaan is very experienced in this area as well. In the telco provider in general, they focus on financial metrics very early and they don't always look as great as you would want them to when you make some really bad short-term decisions when you do that. So we have been taught not only by Sergi and Kaan but also by our Board that we have to have absolutely digital experts on our Board who say basically focus on growth, grabbing share of the users and share of the population, and then perfect your engine. And that's the way that these businesses outside of telco operate, and so we're going to keep looking at. I think we're down to the last question. Do we have anything on the - good.
Kaan Terzioglu: No more.
Ursula Burns: No more questions? I can take one more in room. But if not, well done. Thank you very much for asking us. Good, thank you.
Kaan Terzioglu: Thank you.
Alex Kazbegi: Thank you.